Operator: Good morning, and welcome to the Canada Goose Fourth Quarter Fiscal 2025 Earnings Call. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the call over to Neil Bowden, Chief Financial Officer. Thank you. Please go ahead.
Neil Bowden : Good morning, everyone. With me today are Dani Reiss, our Chairman and CEO; Carrie Baker, President of Brand & Commercial; and Beth Clymer, President, Chief Operating Officer. Today's presentation will contain forward-looking statements that are based on assumptions and therefore, subject to risks and uncertainties that could cause actual results to differ materially from those projected. We undertake no obligation to update these statements, except as required by law. You can read about these assumptions, risks and uncertainties in our press release issued this morning as well as in our filings with the U.S. and Canadian regulators. These documents are also available on the Investor Relations section of our website. We report in Canadian dollars, so all amounts discussed today are in Canadian dollars unless otherwise indicated. Please note that financial results described on today's call will compare fourth quarter results ended March 30, 2025, with the same period ended March 31, 2024, unless otherwise noted. For today's call, Dani, Carrie, Beth and I will deliver prepared remarks, following which we will open the call up to take questions. With that, I'll turn the call over to Dani.
Dani Reiss : Thanks, Neil, and good morning, everyone. I'll start with our fourth quarter performance and progress on our operating imperatives before I turn it over to the team to review our results in greater detail. The fourth quarter marked a strong finish to fiscal 2025 with revenue up 7% year-over-year. Our direct-to-consumer business showed positive momentum from a very strong December, delivering 7% D2C comparable sales growth for the quarter, substantial improvement from our year-to-date performance. We are very pleased with our strong finish to the year and the progress that we've made building on the strength of our brand, enhancing our D2C execution and operating more efficiently. Our focus has delivered results, strengthening our foundation for future growth. The Canada Goose that customers experienced this quarter was more culturally relevant, more deliberate in our execution and much more impactful in everything we did. We didn't just meet the moment, we created moments that elevated our brand in the global conversation. For example, our marketing campaigns for Sea Mantra and eyewear in February significantly boosted global branch search demand with a 19% year-over-year increase. This positive momentum continued into March, particularly in the United States. We took significant steps to become a better retailer in order to drive higher sales productivity in our stores. Our focus on enhancing store staffing, inventory position and the in-store experience contributed to higher conversion rates in comparable stores for the year. We evolved our marketing and brand strategy delivering impactful brand moments during our Snow Goose campaign, which now serves as the blueprint for future campaigns. And we successfully managed our inventory, which is now down year-over-year for 6 consecutive quarters resulting in cleaner inventory across all channels and paving the way for a much more product newness in the coming years. In today's uncertain trade environment, it is worth noting that our Made in Canada products, which represent the vast majority of our offerings are not currently impacted by the recently announced tariffs on imports into the United States. While these are uncertain times, I want to emphasize that this is not the first time Canada Goose has successfully navigated uncertainty. We've endured challenging times before, through 2008, through COVID, and each time, we've emerged stronger. Looking ahead, we're building on this momentum with a clear path forward. What works, we'll continue to amplify. What needs refinement, we'll evolve. In fiscal year 2026, we're going to focus on four key operating imperatives, each of which build on the success we saw from our efforts in fiscal 2025. First, building brand heat through focused marketing investments. The results that we've achieved through our approach to marketing in fiscal '25 have informed our approach for the year ahead. When we invest broadly in strategic brand moments, we see a direct commercial impact. Our second key area is expanding our product offering to enhance year-round relevance. With our strengthened product leadership team and with Haider Ackermann's creative involvement and vision, we will continue to develop and launch newness and strengthen our seasonal collections that will continue to resonate with customers throughout the year. Third, we will be driving business expansion through strategic channel development. We will continue to selectively expand our store footprint while renovating existing locations to deliver an exceptional brand experience and to better position our brand across strategic wholesale partners. And finally, we are operating efficiently and with pace and accountability. Building for the future requires strategic investments in our people, systems and processes, particularly in areas directly connected to revenue generation and customer experience. We will be making those critical investments while at the same time continuing our efforts to drive efficiency throughout our business. We are entering fiscal 2026 with strong momentum, momentum built on lasting foundations. With a sharp focus on our operating imperatives, we're strengthening our brand, building it for generations, not just a single season. I want to thank our talented employees around the world for their dedication and commitment to excellence. And with that, I'll turn it over to Carrie to discuss our commercial performance in more detail.
Carrie Baker: Thanks, Dani. Building on the inflection point in December, our momentum continued through the fourth quarter. Let me walk you through our progress in two of our three key operating imperatives in fiscal 2025 and how they position us for the future. Starting with fueling the next phase of our brand strategy. In Q4, on the heels of our successful Snow Goose campaign, we introduced the Sea Mantra collection, our most technically advanced rain jackets yet. Designed for extreme wet weather, they offer the same high-performance standards that define our Snow Mantra jackets in extreme cold. This bold addition to our performance category shows how we continue to push the limits in craftsmanship and innovation, and the launch also drove significant interest within our rainwear category. Our product mix continued to evolve with down-filled outerwear seeing growth and apparel remaining our fastest-growing category in both Q4 and across the full fiscal year. Our wholesale strategy is another key part of our brand evolution, and we are seeing clear results. Strengthening our strategic partnerships and our focused approach to curated allocations are paying off with stronger year-over-year sell-through, especially in North America. This led to higher in-season reorder demand and a cleaner inventory position in the channel. Now turning to our second operating imperative, driving best-in-class retail execution. As Dani mentioned, fourth quarter DTC sales comp was up 7%, and we saw higher year-over-year conversion in every region. This growth validates both the investments we've made and our relentless focus on getting the fundamentals right to enhance the consumer experience across our retail network. Let me provide some color on our regional DTC performance. In North America, we saw exceptional momentum with DTC comps up 17% for the quarter. Store performance was particularly strong with double-digit growth each month, reflecting the success of our retail execution strategies and marketing initiatives in the region. In EMEA, results were mixed throughout the quarter. The U.K. continued to face more challenging market conditions compared with the rest of the region, where our stores in Milan and Paris in particular, delivered strong performance. In APAC, we experienced a strong January driven by Lunar New Year, but softness in February and March. While traffic in the region continued to be impacted by macro challenges, we increased sales conversion. Our expanded live streaming presence in Mainland China is another continued opportunity, driving significant brand visibility and enhanced consumer engagement. Looking at global digital channel performance, we saw a spike in revenue and traffic in February, thanks to the online launch of our eyewear collection, where we introduced AI-powered virtual try-on tools, which consumers loved. These tools didn't just improve the online experience, they boosted sales across other categories. And by staying consistent and intentional with how we connect with our consumers, we've seen our subscriber base grow year-over-year with e-mail now driving a much bigger share of our e-commerce sales. Now let me share our fiscal 2026 operating imperatives, which Dani introduced earlier. First, building brand heat through focused marketing investments in upper funnel marketing to drive brand heat and cultural relevance. What we saw in fiscal 2025 is clear, when we make bold moves that spark attention, search and sales follow. This work is all part of our journey to elevate the brand and connect with the right audience. By shifting our marketing efforts and investments earlier in the year and higher up the funnel, our aim is to create standout moments that build momentum and demand ahead of peak periods and keep Canada Goose top of mind all year long. To do that, we're increasing marketing spend as a percentage of revenue. We're increasing our investment in upper funnel marketing efforts, and we're enhancing marketing impact through high-profile campaigns, exclusive products and impactful storytelling. We're also evolving how we measure impact, recognizing that it's the full journey from brand building to conversion that drives results. This approach is already showing its value, helping us understand what's working and why. We're learning more about how each channel contributes whether it's building long-term affinity or generating immediate sales and using those insights to make smarter, more effective decisions. Our second operating imperative for fiscal 2026 is expanding our product offering to enhance year-round relevance, which will deliver through three key initiatives. First, bringing more newness than ever, nearly doubling the mix of updated and brand-new styles, giving consumers more reasons to shop with us again. The excitement here is already building. We've received strong enthusiasm from our wholesale partners for both our spring/summer and fall/winter '25 collections. Second, growing our apparel line to strengthen our year-round relevance and reach a broader range of lifestyles and environments, while still remaining a leader in down-filled outerwear through elevated fabrics, standout style and innovative design. Our data shows that consumers who discover us through apparel are more likely to become repeat customers versus those who start their journey with other categories. So we're confident this investment will have meaningful commercial benefits. And third, starting in spring/summer 2026, Haider Ackermann's creative vision will extend across both Snow Goose and our mainline collections. To bring this to life, we're making meaningful investments to accelerate progress starting with our product creation teams by better connecting design, development, sourcing and merchandising. Through a more integrated and collaborative process, we're already seeing faster speed to market. Our third operating imperative is driving strategic channel development through DTC excellence and elevated wholesale partnerships. For DTC, we're focused on the following: growing our store presence with new openings and refreshing existing locations to create an even better experience for our consumers as well as taking our retail store execution strategy to the next level. That means we're doubling down on what we kicked off last year with a focus on smarter staffing tied to store traffic, hiring earlier for peak seasons, creating more consistent in-store experiences and using our omnichannel tools to keep inventory flowing where and when it's needed most. Now to our digital initiatives. We will continue to enhance the site experience and personalization journey, making it easier for customers to discover, shop and engage with our brand. We intend to bring our products to life through richer storytelling, offering a more seamless unified experience across our full assortment and improving how we connect our mainline and Snow Goose collections. By leveraging attribute-based merchandising and behavior-driven insights, we aim to personalize the consumer journey, delivering relevant products and experiences at every step in their digital journey. In wholesale, we're focused on showing up more consistently for our consumers wherever they shop with us. We're investing in shop-in-shops and enhancing our showrooms to reflect the look and feel of our evolving brand, bringing our seasonal stories to life in a more immersive way. With sharper marketing and upgraded sales training for both in-person and virtual appointments, shopping in a multi-brand environment will feel more like Canada Goose than ever before. To summarize our commercial efforts, in a market full of noise and challenge throughout fiscal 2025, we stayed focused to own where we missed and deliver it where it counted most. We turned disciplined commercial execution into meaningful progress and we're moving into fiscal year 2026 with strength. I'll now turn it over to Beth.
Beth Clymer: Thanks, Carrie, and hello, everyone. As a reminder, our third operating imperative for fiscal '25 was to simplify and focus the way we operate. We are doing this through internal operating excellence and focused capital deployment. First, internal operating excellence. I have consistently shared our focus on controlling corporate headcount, and we made further progress on that in Q4. We ended fiscal '25 with corporate headcount approximately 3% lower than we had at the start of the year, and that was after our March 2024 headcount reduction. We achieved this all while doing significant hiring in important areas like standing up our Paris design studio. Our focus on controlling corporate headcount is working. Not only are we a leaner team, but our employee Net Promoter Scores are substantially higher than they were prior to our March 2024 org changes. Change is hard, especially when that change requires things like headcount reductions. But this data tells us that our team is more engaged and more productive, which directly contributes to our improved business performance and operational efficiency. Second, focused capital deployment. We've made real progress in rightsizing inventory across all sales channels. We ended the year with $384 million of inventory, down 14% year-over-year, and we've met our objective of inventory turns reaching 1.0x, up from 0.9x at the same time last year. We achieved this through a combination of disciplined production levels, planning and allocation improvements to make and ship the right inventory to the right place at the right time and leveraging brand right channel to exit slow-moving inventory. Now I'll talk about the efficiency metric we are most focused on, SG&A as a percent of revenue. In the fourth quarter, SG&A as a percent of revenue increased 220 bps year-over-year after accounting for adjustments related to the transformation program last year. On a full year basis, this metric increased to 130 bps year-over-year. There are three reasons for this. First, we did generate productivity by reducing SG&A in our corporate overheads predominantly in headcount. Second, we made important revenue-driving investments, specifically in stores, those that opened in fiscal '24 and in fiscal '25 in marketing and in our design and product development teams. These investments are intentional and reflect a deliberate strategy to drive sustainable growth, and we saw the benefit of this with 4 consecutive months of positive D2C comp growth. Lastly, we unfortunately did not generate positive comps for the entirety of the year, and that meant we did not leverage those costs as much as we had hoped. We are, of course, disappointed that we did not drive lower SG&A costs as a percent of revenue in fiscal 2025. That said, it is important to recognize that not all SG&A dollars are weighted equally. The investments we are making right now are intentional and focused, targeted specifically at brand relevance, product freshness and revenue generation to support long-term growth. We truly believe this is the smartest use of our resources. And while we're investing in the right areas, we remain very disciplined and cautious about how and where we spend. Over the course of fiscal '26, you will hear me continue to talk about our fourth imperative, operating efficiently with pace and accountability. This means maintaining efficiency on our controllable costs, including corporate, operations and supply chain costs as well as third-party costs. Making investments in critical drivers of sustainable growth, specifically design, product and marketing; and third, efficiently deploying capital expenditures and managing inventory. We will continue to measure and share with you our progress on this initiative, looking at SG&A as a percent of revenue, corporate headcount and inventory turns. Before I hand it over to Neil, I want to address the global trade environment. Tariffs are a standard part of our global business. We successfully managed them across markets throughout our history, and our team is well versed in adapting the policy changes. As they stand right now, the new United States tariffs have a minimal impact on our P&L. Approximately 75% of our units are made in Canada, virtually all complying with USMCA requirements, which means, as Dani mentioned earlier, they are currently exempt from tariffs. Our remaining production, which is primarily from Europe, is facing an increase in tariffs, but they will have minimal financial impact. We are actively monitoring this evolving situation and remain well positioned to react swiftly to any changes in U.S. or global tariff policies. More importantly, beyond tariffs, our vertical manufacturing is a real source of competitive advantage for us. It gives us control over quality and craftsmanship, and it gives us agility in adjusting production to meet demand. We are currently leveraging this capability more than we ever have before, which is especially valuable in today's dynamic market. Of course, there will undoubtedly be second-order implications on consumer sentiment, supply chain costs, et cetera, which we are monitoring closely and then Neil will discuss shortly. But overall, we feel well positioned to navigate these uncertain waters. I'll now turn it over to Neil.
Neil Bowden: Thanks, Beth. First, I'll review our fourth quarter financial results and then discuss our plans for fiscal '26. As a headline, Q4 was a notably stronger quarter for us against the deteriorating consumer backdrop and challenging global trade environment. In spite of these factors, we delivered consolidated revenue for the fourth quarter of $385 million, up 7% or 4% on a constant currency basis from the fourth quarter in fiscal '24. D2C revenue increased to $314 million, up 12% year-over-year, including comparable D2C sales growth of 7%. Operating performance in our stores and e-commerce channels around the world was strong, with North America leading the pack, building on momentum that started in the back half of Q3 that has continued into fiscal '26. In the wholesale channel, in Q4, revenue declined more year-over-year as we compared against the later shipping window in EMEA in fiscal '24. For the full year, we performed ahead of our expectations of a 20% decline, reporting an 18% decline for the year. This was primarily the result of better in-season reorders, particularly in APAC, where our travel retail business is strengthening. We ended the year with channel inventory in a much healthier position and with better commercial alignment with our partners. Revenue in our other channel was down year-over-year as we held fewer friends and family events in the period. As you've heard, we're satisfied with our inventory position at the end of fiscal '25, which has been improved through brand right strategies in this channel. Earlier, Carrie provided the regional performance highlights, and I'll reiterate a few key points now. First, D2C comp performance improved materially in every region from our results in Q3 and over the first 9 months of fiscal '25. In Q4, North America D2C comparable sales growth was 17% and 4% for the full year. In EMEA, D2C comparable sales growth was 4%, but negative 7% for the full year. And in APAC, D2C comparable sales growth was flat and negative 10% for the full year. APAC was comping against a particularly strong Q4 of fiscal '24 as a reminder. If we double-click into the markets, we saw a strong performance everywhere throughout the quarter with two exceptions, Greater China and the U.K., both saw slower traffic as a result of a more difficult consumer sentiment and in both cases, conversion improved. As we move down the P&L, let's turn to gross profit, which increased 18%, exceeding the pace of revenue growth. Gross margin expanded by 620 basis points in the quarter to 71.3% and 69.9% for the full year, up 110 basis points over the previous fiscal year and ahead of our expectations. Though results for Q4 and the full year share similar reasons. First, the benefit of a higher proportion of D2C revenue; second, lower inventory provisioning in the current year against somewhat higher provisions in Q4 of fiscal '24 related to our e-commerce business; and third, the modest benefit of pricing. Growth in our apparel category delivered incremental gross profit dollars at a slightly lower gross margin, which somewhat offset items positively impacting gross margin during the quarter. Adjusted EBIT for Q4 was $60 million up 49% year-over-year. Adjusted EBIT margin was 15.5%, a 430 basis point expansion year-over-year compared to 11.2% last year. Gross profit improvement in the quarter and a disciplined approach to corporate expenses delivered meaningful year-over-year adjusted EBIT improvement in the period despite the increased costs of operating a larger store network, investments in our product creation capabilities and larger marketing investments. With positive D2C comparable sales and discipline on controllable SG&A, we delivered operating margin improvement, reflecting the power of our business model when the right elements come together. For the full year, adjusted EBIT was $171 million compared to $172 million in fiscal '24, representing a modest decline in operating margin. While this was below our original plan, we are pleased to see that we have been able to navigate the pressure on D2C comparable sales performance, the intentional rationalization of our wholesale order book and planned investments in our design and merchandising teams and marketing expenditures. As Beth mentioned earlier, we are disappointed to have deleveraging our SG&A line in fiscal '25. Our plan for the year contemplated SG&A leverage as a path to operating margin expansion, which was based on higher levels of revenue growth at the beginning of our peak season than we delivered. Adjusted net income attributable to shareholders was $32 million or $0.33 per diluted share compared to $19.3 million or $0.19 per diluted share in Q4 fiscal '24. For the full year, adjusted net income attributable to shareholders per diluted share was $1.12, an improvement of $0.13 or growth of 13% compared to fiscal '24. Turning to our balance sheet. As Beth mentioned earlier, inventory decreased 14% year-over-year, a material improvement directly resulting from a disciplined inventory management throughout fiscal '25. We're well positioned for fiscal '26 with inventory strategically positioned in key markets, providing flexibility amid global trade challenges. The resulting cash flow generation from working capital improvement and operating performance added $189 million more cash at the end of the fiscal year, leading to a net debt improvement of a similar amount. Net debt leverage on a trailing 12-month basis improved to 1.3x adjusted EBITDA from 2.0x adjusted EBITDA a year ago. We started fiscal '26 in a strong liquidity position that provides flexibility to make strategic investments while maintaining an efficient capital structure. Our capital allocation priorities remain focused on driving shareholder value in the medium and long term. First, by investing in organic growth opportunities central to long-term value creation such as brand and product development and expanding our retail network. Secondly, enhancing the business' foundational needs, including upgrading our technology; and third, maintaining an efficient capital structure. Now turning to fiscal '26. There is no doubt that it has been a very turbulent period over these past several months, giving rise to material changes in the global trading environment. With changes occurring frequently and with limited line of sight to the impact of these changes on the economy and consumer health, at this time, we do not believe it is prudent to provide a financial outlook for the year. Specifically on trade duties and tariffs, and we have heard the questions of how we are impacted a number of times, I want to be clear about two things. First, as a global business, tariffs are a reality of life and have been for a while. We have navigated through them successfully. And as you heard Beth say, the newly implemented tariffs are not material to the fiscal '26 financial plans directly. However, and secondly, the indirect effect of these actions on the global economy and changing landscape create greater uncertainty for us, especially as we are months away from our peak revenue periods, and the situation has changed frequently over the past several months. As you will expect, we are closely monitoring these dynamics and maintaining operational flexibility to respond as needed with a healthy balance sheet and liquidity position. Where we do have clarity, however, is in what will create the greatest medium- and long-term value for our business and controlling those things that we can control. Before I turn it over to the operator, I'd like to recap what you've heard from us today in terms of our operating imperatives for fiscal '26. First, building brand heat through focused marketing investment. As Carrie mentioned, when we invest boldly in brand moments, we see a direct commercial impact. This year, we will strategically increase marketing investment and emphasize upper funnel activities to drive brand resonance, balancing near-term performance with long-term value creation. Our plan for fiscal '26 is to ensure that the marketing activities will cover the full year which we know from our experience in fiscal '25 is the plan we need to drive those commercial outcomes that we've just seen over the past 6 months. Based on that, we are confident this year's investment will bring a significant return, but given the shift up the marketing funnel are not planning for the full benefit to be realized within the year. Second, expanding our product offering to enhance year-round relevance. Product and category newness is resonating with down-filled outerwear, seeing growth and apparel remaining our fastest-growing category in both the quarter and fiscal '25. Our expanded design teams in Paris and Toronto are accelerating new product development across multiple categories, responding to consumer demand, while shortening our go-to-market cycle. Pricing changes will be made imminently. We are planning for modest increases on carryover styles with some more strategic pricing on newness as we build category depth and assortment width. Third, driving business expansion through strategic channel development. Our second half of fiscal '25 delivered solid improvements in D2C comparable sales and conversion rates with this positive trajectory continuing into the first quarter of fiscal '26. We have more work to do here, and we're committed to building on this foundation with specific performance metrics to track and drive our progress throughout fiscal '26, and on that, we will keep you posted. Capital deployment this year is focused on investing in critical markets like Paris and Milan, where we expect high returns over time, and our total net store opening plans will exceed fiscal '25 levels. Finally, operating efficiently with pace and accountability. We are enhancing operational efficiency through improved inventory turnover and disciplined SG&A management, particularly in corporate overhead as we scale revenue. To close out today's remarks, I want to emphasize that our fiscal '25 performance, particularly in the second half of the year demonstrated the strength of our brand and the effectiveness of our strategy when well executed. Despite market uncertainties, our strategy positions us for sustainable growth and enhanced shareholder value creation while deepening our connection with consumers around the globe. On behalf of the senior leadership team, I want to thank our teams around the world for their dedication and hard work throughout fiscal '25, and we are excited about what fiscal '26 will bring for Canada Goose. With that, I'll turn the call over to our operator for questions. Operator, you can open the line.
Operator: [Operator Instructions] Our first question comes from Brooke Roach from Goldman Sachs.
Brooke Roach : I was hoping you could elaborate on some of the opportunities that you see in comp growth this year, particularly in North America. In your view, how sustainable is that North America comp trend that you delivered in the fourth quarter? And what are the things that you're doing to protect yourself from an uncertain macro environment into the peak winter season? And then a quick follow-up for Neil. Can you contextualize the magnitude of the incremental SG&A marketing investments that you'll be making this year? What is percent of sales this year that's planned versus last year? And how are you thinking about that opportunity?
Carrie Baker: Thanks, Brooke. It's Carrie here. So to talk about North America, yes, we had a great quarter. We saw tremendous momentum and that continues. And so we continue to see that opportunity ahead. And I mean, I talked about it in my remarks, but a few things. One, when you look at our product expansion, I think the way that consumers are responding to, whether it's eyewear, whether it's responding to our newness in apparel, our newness in our core, there we continue to see opportunities ahead to drive -- to do more of that. The second part I would say is that everything that we started last year and kicked off in terms of our store execution. So really focusing on putting the right people in place when we see traffic, making sure our inventory is in the right place, making sure our staff is really well trained. I think we have the opportunity to keep doing that, embedded at scale and see that across every store, not just in North America, but I would say in every region. The third thing I would say is the response to the way we've been bringing those product stories to life, whether it's our eyewear launch, whether it was Sea Mantra collection that introduced our spring product assortment. The way consumers have been responding to that really globally different, more focus on brand storytelling, more focus on upper funnel investments that continues to give us confidence that there is more there. And so that is a blueprint that we will continue to execute in the FY '26 because it's delivering results. So very excited to keep doing that. We have lots of new exciting things coming up on the product front, Haider's Snow Goose capsule is second, will be coming out imminently. And so we're excited to see those once the market come up.
Neil Bowden: Thanks, Brooke. Nice to hear your voice. As it relates to SG&A, obviously, no, we're not providing any directional on what the percentages will be of sales. But I'll tell you a couple of things. First of all, as you heard here, both in fiscal '25 as well as what's going to continue in fiscal '26, we're focused on SG&A that is strategic and will deliver long-term value, which means it may not all come back this year. The focus areas are clearly on marketing, where we've seen over the last several months, a very substantial uptick in brand heat as well as paid media that's delivering. Second area of focus is going to be around product design and merchandising, where again, we've seen some benefits early on, but that's a longer-term play, of course. And then finally, we're going to put some more stores in place as you've heard. So we're certainly focused on areas of investment that we'll deliver. And on the other side, we're going to control costs around things like headcount and other corporate costs that maybe aren't necessarily returning at the same rate or over the same time horizon.
Operator: Our next question comes from Rick Patel from Raymond James.
Rick Patel : Congrats on the nice progress. I'd like to focus on product newness, which sounds like it's accelerating. How much of the store today represents what you had considered core products versus what you had considered newness? And how is this going to change over the course of the next year? And then can you also help us think through the timing of some of the newer products coming in? Is it going to be gradual? Or do you see a particular season where we should see a bigger uptick?
Neil Bowden: Thanks, Rick. We -- it was a little bit choppy, but I think the question was really around product newness and how that assortment is going to progress. So I'll take that.
Carrie Baker: Yes, I'll take that. So you heard me talk about in my remarks. So we are definitely focused on newness, not just new products but also adding newness whether it's through fabrics, whether it's through innovations on our core products. So we continue to see core products, whether it's things we've introduced 10 years ago. There's still lots of opportunity and demand to animate that. And so that also is part of our newness strategy. We want to be able to give people new reasons to come back as well as attract new consumers. So you heard me talk about apparel. That is definitely a focus. We see the demand there. We're serving customers across different regions, across different climates. So wind-wear, rainwear, Sea Mantra would be a great example. When we introduced Sea Mantra, it's the pinnacle product for rain. It had such a strong impact on demand for other rainwear, other wind-wear such as Tofino or Rupert jacket. So that's what we're responding to, continue to see Snow Goose also as an opportunity. That's much more of an opportunity to bring the brand to life in a very different way. Haider's creative vision, his aesthetic, his standards in craftsmanship that continues to delight our consumers. So I'm excited for you guys to see that shortly. In terms of -- I think the second part of your question is around timing. This is an -- it's an ongoing progressive introduction. So there's not sort of going to be one season where you suddenly see a brand new Canada Goose. We don't need to reinvent ourselves. We're just bringing life and adding newness to round out the assortment and to meet people where they're at. So I would expect to see -- you will see lots of newness in fall/winter that will continue into spring. And of course, with Haider's seasonal capsules, those are all brand new styles and colors and fabrics and you name it. So it's very exciting. I think consumers are going to be very interested to see a new slightly different lens on the Canada Goose as we move forward.
Operator: Our next question comes from Alex Perry from Bank of America.
Alex Perry : The decision to pull the guide, was that just based on volatile trends you're seeing from an end consumer standpoint? Have you seen -- I guess a follow-up on that is like have you seen the same level of comp sales growth continue into the first quarter here and the momentum from the fourth quarter sort of continue here? Just wanted to ask a little more on the decision to pull the guide given not a ton of direct trade exposure.
Neil Bowden: Sure, Alex. So just to answer the second part first on sales performance and just more generally, sales performance in the early part of fiscal '26 has been positive. And so we're certainly encouraged by that. We see that momentum as a continuation of all the success that we've seen in the back half of the year, whether that's marketing or product or just pure better execution from a D2C perspective. The pull of the guide and the decision not to provide an outlook for the year is entirely around what we see as a fairly uncertain consumer environment around the world. There's no doubt that the trade environment is choppy, and you correctly pointed out that our impacts are not necessarily direct, but we're quite a ways from our peak season and where we thought we were on the 1st of February and the 1st of March and today are all different. And so the level of unpredictability there, at least in our view, is such that we're not prepared to provide an outlook for the year, although we've got a lot of great plans that you've heard that we intend on executing, and we fully expect to see successful execution of those plans over the next 12 months.
Alex Perry : Perfect. And then just my follow-up was on wholesale. Can you just give us at least the guidepost in terms of how we should be thinking about wholesale this year? Are you sort of done with the curtailing of the wholesale accounts? Are you seeing any significant change in retailer order patterns in the current environment?
Carrie Baker: Sure, I'll take that. So yes, the majority -- we talked about this before, I think the majority of our streamlining efforts are behind us. So we would say FY '26 is really a trough. So we'll continue our strategy of deepening our partnerships with the best brands that are aligning with their values, with our full-price strategy with people that understand the journey that we are on. And so very pleased with what we're hearing from wholesale partners. They've seen our fall and our spring assortments. We're getting great response, and that really -- what we've done in '25 really created the blueprint for how we're going to execute in '26. So we do have expansion plans. I would say, increasing our presence in travel retail, particularly in the APAC region. And then in EMEA, we have been investing more with influential partners. And that means branded environments, working with them on special exclusives that means maintaining a more consistent connection to Canada Goose brand, whether that's through training, whether that's through visual merchandising. So we're quite happy with where we're at. And I would -- yes, we expect fiscal '26 really to be the trough and to grow from here.
Operator: [Operator Instructions] Our next question comes from Oliver Chen from TD Cowen.
Oliver Chen : We've been noticing some really encouraging lifestyle changes in the store. Across global luxury, a lot of the regions have been pretty different within the sector. What regions are you most concerned about? Or would you call out as you think about opportunities or where you need to go? And then as we think and continue to see newness, how would you think about GMROI or gross margin return on inventory and/or the segment where you think about margins and markdown cadence? Just would love to understand that complexion or just general thoughts as some of the seasonal apparel maybe relevant to different seasons and your SKUs may change in terms of breadth versus depth as you become more lifestyle.
Carrie Baker: Thanks, Oliver. So let me walk through it. So in terms of regions, we continue to believe there's a lot of opportunity in all of them. So I would say, when you look back at Q4 macro factors, probably the biggest impact was on the U.K. and in our EMEA region and then in China. So traffic definitely was lower. Our conversion was higher. So we're proud of the way that we're able to convert that traffic. I would say when you look at EMEA, we have really strong performance in -- outside of the U.K. So that's an area or a market that we are looking at and definitely dedicating our focus and attention to. In China, the consumer we see them, it's slightly low. When we invest again, the demand is there. When we're introducing new things, you saw the results of that in Lunar New Year. And so we expect that to continue. We just continue to see lower traffic levels. In North America, I think we're well placed. We're a well-placed brand. The consumer is resilient. We're seeing traction in both Canada and the U.S. so we continue to deliver on the strategy, whether it's marketing, whether it's our DTC execution, whether it's our product expansion. So really no areas of major concern. We just understand that there are fluctuating traffic patterns that we're responding to.
Beth Clymer: I can take the second one, Oliver, on GMROI and inventory margin questions. Obviously, we're really pleased with our progress on that front. This year, we saw very significant reduction in inventory levels, expansion of turns and strong margin performance. And I think there's a lot more of that to come. I'll note, we are less focused next year on absolute dollars of margin decline and more focused on driving turns, right, driving inventory efficiency. With regards to markdowns, as we extend into more lifestyle categories, you've heard us share in the past that some of those newer categories are slightly lower margin. But we feel very good about the margins in those categories. We also feel very good about aggregate impact of those net new categories on consumer purchasing, more repeat purchases, more multiunit purchases basket builders. So even if you have a slight margin -- gross margin impact from an apparel category, for example, relative to down-filled outerwear, the aggregate impact on our overall margins is going to be significantly better. So we feel good about all of the trends that should drive that inventory efficiency and margin profile in the short, medium and long term.
Oliver Chen : Okay. And a follow-up, like, as you know, timing is everything, regarding sequencing of marketing and as you think about return on ad spend relative to product execution and changes to newness and the new designer, would love thoughts there. And related is customer lifetime value. As you analyze new customers, how is that complexion looking between new versus existing in churns and thinking about that UPT opportunity?
Carrie Baker: I'll take the sequencing on marketing. So when you think about the difference between fiscal '26 and fiscal '25, we're investing much earlier. So you remember that we were -- strategically made a decision last year to focus on putting our investments and attention and energy around our biggest brand moment, which was the introduction of Haider's first capsule. And so that happened late in the year. So what you'll see this year is a much -- whether it's a pull forward or planned earlier, we'll be executing much earlier. That's already started. We had a great kick-off of spring that started back in February, and that has continued. We've executed summer to a bigger degree so across top to bottom funnel and that will continue with the next Snow Goose capsule with the fall holiday. So we feel very comfortable that we're, I'd say, launching and executing earlier and more often. We'll have a chance to engage with our consumer ahead of peak bringing in new customers, enticing existing customers to come back and purchase something different. So feeling really good about the sequencing and the frequency of investment.
Neil Bowden: As it relates to measuring the effectiveness of those investments, Oliver, I'll just make a couple of comments. So obviously, further down the funnel you are, the easier it is to measure return either on ad spend or on investment. We are fully intending on moving up the funnel and driving brand heat in those metrics in terms of returns are not necessarily financially [ -- or as you've seen those ] financially over a particular short period of time. We look at how is brand heat going to grow and how do we compare to both our trends as well as what we view to be appropriate benchmarks there. I'd say just to be transparent around consumer life cycle and lifetime value. We're probably at the earlier stages of maturity there, and that's an opportunity for us, especially as we build out some capabilities on marketing analytics to evaluate what that looks like over time. And as we grow both awareness and execution throughout the marketing funnel, we'll -- I think we will improve on our ability to measure that and therefore, be able to drive improvement over time.
Operator: We have no further questions in queue. I'd like to turn the call back over to management for any closing remarks.
Neil Bowden: Okay. Thank you, everyone. Appreciate your interest today. And if you have any further follow-ups, please reach out to the talented Investor Relations team here at Canada Goose. Take care, and have a great day.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.